Operator: Welcome to Workday's Second Quarter Earnings Call. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of the conference. With that, I'll hand it over to Mike Haase. Please go ahead.
Michael Haase - VP Finance, Treasurer, and Investor Relations: Welcome to Workday's second quarter fiscal 2016 earnings conference call. On the call, we have Aneel Bhusri, our CEO, and Mark Peek, our CFO. Following their prepared remarks, we will take questions. Our press release was issued after close of market and is posted on our website where this call is being simultaneously webcast. Statements made on this call include forward-looking statements such as those with the words will, believe, expect, anticipate and similar phrases that denote future expectation or intent regarding our financial results, applications, customer demand, operations and other matters. These statements are subject to risks, uncertainties and assumptions. Please refer to the press release and the risk factors in documents filed with the Securities and Exchange Commission, including our most recent quarterly report on Form 10-Q for information on risks and uncertainties that may cause actual results to differ materially from those set forth in such statements. In addition, during today's call, we will discuss non-GAAP financial measures. These non-GAAP financial measures, which are used as measures of Workday's performance, should be considered in addition to, not as a substitute for or in isolation from GAAP results. Our non-GAAP measures exclude the effect on our GAAP results, our share-based compensation, employer payroll tax-related items on employee stock transactions, amortization of acquisition-related intangible assets and debt discount and issuance costs associated with our convertible notes. You can find additional disclosures regarding these non-GAAP measures, including reconciliations with comparable GAAP results, in our earnings press release and on the Investor Relations page of our website. Also, the Customers page of our website includes a list of selected customers and is updated at the beginning of each month. The webcast replay of this call will be available for the next 45 days on our company website under the Investor Relations link. Our third quarter quiet period begins at the close of business October 16, 2015. Unless otherwise stated, all financial comparisons in this call will be to our results for the comparable period of our fiscal 2015. Finally for you planning purposes, please note that we are hosting an Analyst Day on September 29 at Workday Rising in Las Vegas. The registration link will be sent tomorrow. With that, let me hand it over to Aneel.
Aneel Bhusri - Co-Founder and Chief Executive Officer: Thank you, Mike, and thanks to all of you for joining our call this afternoon. I'm excited to tell you about another great quarter for Workday. I'm pleased to say that business was strong across-the-board. Customer demand for human capital management continues to grow, especially as we expand our footprint around the world. And our new investments are also beginning to pay off as we're seeing growing traction in financials and experiencing strong momentum in our education and government business unit. And lastly, our business outside North America is growing rapidly with the first half of this year being the strongest our EMEA team has experienced in company history. Our competitive win rates continue to remain strong as well with Q2 win rates above Q1. And when we win, it's not just bringing an on premise customer into our cloud, recently we have also begun to replace our legacy competitors cloud applications and get those customers lives successfully in the Workday cloud with a focus on achieving real measurable business value for them. In the past quarter, we achieved some significant customer milestones. We now have more than 1,000 customers around the world, and attracting new business isn't enough. It's our job to deliver real business value to our customers. So I'm proud to share that more than 70% of those 1,000 customers are live today. New customers in the second-quarter include Pfizer, Cleveland Clinic, and Texas A&M. And as mentioned earlier, our EMEA team had another strong quarter and added Centrica and DS Smith as new customers. We now have more than 100 large enterprise customers headquartered in the European region and are seeing good traction in our newer European markets, such as Germany, Austria, and Switzerland. During the quarter we also surpassed 150 customers who are using our Workday Financial Management suite with more than 80 of them now live with these applications. Our industrious approach for bringing financials to market is beginning to bear fruit as we're gaining repeatable traction in several industries where we believe we can be the dominant cloud financials vendor. Financial services is one of those key industries, and we're happy to welcome First Financial Bank as a new financial management customer in Q2. As we continue to rollout new products, we carefully track the success of other recent offerings. To that end, we once again saw strong attach rates for payroll and recruiting in Q2. As you know, we made Workday recruiting available just over a year ago in the spring of 2014, in that short time we have passed 300 customers more than 95 are live today. On the product front, we continue to innovate faster than anyone else in our space. As we said last quarter, financials is ready for prime time and our pipeline for prospective new financials customers has grown substantially this year. Over the last few months, we furthered our commitment to the financials product line with the announcement of Workday Planning, a new planning, budgeting, and forecasting application. When combined with our Workday Financial Management and Workday Human Capital Management suites, Workday Planning will be the industry's first system to unify real-time finance and HR data with analytics and enterprise planning. We also announced Workday Inventory, as well as new features for Workday Procurement, all designed to meet the supply chain management needs of healthcare providers. Workday Inventory is scheduled to be generally available next month, September, with healthcare related features in both Inventory and Procurement coming in calendar year 2016. Workday Planning is scheduled to be generally available to customers in calendar year 2016 as well. Last spring we moved our customers to Workday 24 in four hours. Our customers will move to Workday 25 next month and we are aiming to move them from Workday 24 to Workday 25 within a two-hour timeframe with the future goal of zero downtime. Let me remind you that upgrades in the old world frequently take many years and millions of dollars. At Workday, zero scheduled downtime is entirely possible because we uniquely have one single code line for development and production. Finally, we are looking forward to Workday Rising, our annual customer conference where we expect more than 5,000 attendees to join us in Las Vegas next month. In addition to time with our customers, Rising is our number one prospect event each year. In 2014, we hosted more than 450 prospects from 200 companies at our U.S. event, and today almost 20% of those companies are customers. We also look forward to seeing many of you at Workday Rising for our Analyst Day on September 29. With that, I'll pass it on to Mark.
Mark S. Peek - Chief Financial Officer: Thanks, Aneel, and good afternoon, everyone. We closed the first half of fiscal 2016 with a very successful quarter, generating record quarterly revenues and trailing 12 months operating and free cash flows. Operationally, we continued to execute well. As Aneel mentioned, over 700 of our 1,000 plus customers are live in production. We are generating increasingly strong cash flow, have a strong balance sheet, and continue to build unbilled backlog. This strength allows us to continue to invest aggressively in both product depth and breadth, and also in expanding our market presence. We could be profitable if we chose to do so, but we believe we have significantly more opportunity in front of us than behind us, and we'll continue to invest in maximizing our opportunity for the foreseeable future. We're pleased with our second-quarter accomplishments and want to thank our employees, our partners, and our customers. I will now walk you through the financial details. Total revenues for the second-quarter were $283 million, an increase of 51% from a year ago. The vast majority of our revenues today are in U.S. dollars, so there is minimal impact from exchange rates. As mentioned before, we are offering subscription contracts in six foreign currencies and expect a higher percentage of non-U.S. dollar bookings. Subscription revenues for our cloud applications were $224 million, up 56% from last year. The weighted average duration of new contracts signed in our second-quarter was 3.7 years. Professional services revenues were $59 million, an increase of 37% compared to last year. Job one continues to be the successful deployment of our cloud applications whether by our ecosystem partners, or us. Total unearned revenues were $683 million, up 5% sequentially, and 42% from a year ago. Over 95% of our unearned revenues are from subscription fees. Short-term unearned revenues were $602 million, an increase of 5% sequentially, and 47% from last year. Long-term unearned revenues were $81 million, flat from the prior quarter, and up 12% from a year ago. Our renewals experienced during the quarter continues to support the thesis of our business model, that we retain our customers and have opportunity to expand our relationship at the renewal. This quarter, the dollar value of renewals again exceeded 100% of the value eligible for renewal, but represented less than 10% of our total quarterly billings. Derived billings which represents total revenue plus a sequential change in unearned revenue was $312 million for the quarter, or 51% growth from a year ago. Billings are impacted by a number of factors, particularly as renewals become a more significant component of total billings during the quarter. Likewise, when we collect more than 100% of ACV on contract signing, future billings will be less than ACV. Some contracts, particularly in our education and government vertical have performance milestones, which impact the timing of billing. We are also willing to accommodate the unique needs of our customers in structuring billings and payment terms while retaining the integrity of our business model and consistency across customers. The message here is that simply looking at historic derived billings to estimate the amount of new business booked during a quarter is very imprecise, particularly if you're only measuring quarter-to-quarter versus over the last 12 months. Last quarter one of our large legacy competitors provided the fast method of calculating billings to use as a comparison point, since, as it turns out, it significantly increased their billings growth rate. So we were curious. If we applied their as-reported math, the so-called gross down method, what would our growth rate have been in the first quarter? For those of you unfamiliar with the methodology, unearned revenue balances are netted against accounts receivable to the extent that invoice associated with that unearned revenue is unpaid, but the method particularly useful with on premise software sold through distribution models or where customer acceptance or collection is uncertain. True SaaS companies don't use this approach because they sell directly to their customers, and product acceptance occurs on contract signing. But, for the sake of argument, we used this method against our Q1 results, since we were called out in comparison. Under that method, our billing growth would have been over 60% versus 31% we reported in the first quarter. Now we believe consistency of the application of methodology over time is what's important for investors, and that the legacy software model isn't representative in the SaaS model. So with that, we intend to just disclose derived billings as a sum of revenue plus the change in unearned revenue as we have, since we started business 10 years ago. Looking ahead to the third quarter of fiscal 2016, the strength of our business model and continued momentum provide very good revenue visibility, and we expect a solid quarter. Total revenues for the third quarter are expected to be within a range of $300 million to $303 million, or growth of 39% to 41% as compared to last year. Subscription revenues are anticipated to be within a range of $238 million to $240 million, reflecting year-over-year growth of 45% to 46%. For the year, we anticipate total revenues of approximately $1.150 billion to $1.158 billion, or growth of approximately 46% to 47%. Subscription revenues are anticipated to be within a range of $925 million and $928 million, reflecting year-over-year growth of 51%. Third quarter derived billings are expected to be within a range of $310 million to $315 million. Billings for the year are anticipated to be within a range of $1.365 billion and $1.375 billion. We're very pleased with the new subscription pipeline for the second half, but see strong seasonality between the third and fourth quarter across all of our markets and products. Additionally, due to pipeline mix composition in the third quarter, we're expecting initial billings on new contracts to approximate ACV. This is down from previous quarters in which first-year billings exceeded ACV at times by more than 10%. Shifting away from revenue and billings, we had more than 4,500 employees at the end of our second-quarter. We now anticipate ending the year with upward of 5,300 people. Our hiring has been very strong, and our attrition rate is lower than most of our peers in Silicon Valley. We attribute this to our strong culture and Workday being a great place to have a rewarding, fun and successful career, full of opportunity and good people. Let's spend a few minutes on operating expenses and our results of operations. Unless otherwise noted, all references to our expenses and operating results are on a non-GAAP basis and are reconciled to our GAAP results within the tables posted on our Investor Relations website. Our second-quarter gross margin was 70.5%, down about 90 basis points from the first quarter. The subscription gross margin increased sequentially by about 40 basis points to 85.7% and includes the costs related to providing our cloud applications, compensation and related expenses for operations staff and data center networking and depreciation. We expect subscription revenue to increase as a percentage of total revenue over time, but that our gross margin will likely fluctuate from quarter to quarter. Professional services gross margin was down about 260 basis points from the first quarter due to a higher mix of new consultants on boarded and still not fully ramped during Q2. We continue to expect the professional services gross margin to be lower in fiscal 2016 as compared to the prior year, as we invest in programs to ensure ongoing customer success. Our second-quarter operating loss was just over $700,000, or a negative 0.3%. The impact of the strong dollar had a $5.2 million or 180 basis point favorable impact on our operating loss for the quarter as compared to last year. Product development expenses in the second-quarter was $86 million, up 12% sequentially and up 43% from a year ago. We continue to invest in new solutions, such as Workday Planning, Professional Services Automation and Insight Applications, as well as strengthening and extending our suite of HR, payroll, and in particular, financial management applications. Sales and marketing expense was $93 million, up 8% sequentially, and up 31% from last year. The sequential increase was largely due to increased head count, variable comp and marketing activities. Last quarter, I mentioned that we were about 100 people short in our sales and marketing hiring. We made good progress in narrowing the hiring gap in the second quarter and anticipate fully catching up in the second half. General and administrative expenses were $21 million, up 12% sequentially and up 46% from last year. The sequential increase is largely due to increased professional fees. Below the operating line, we benefited from two one-time items, other expenses, net, included a gain of $3.2 million from the sale of private equity investment. We also had an income tax benefit of $2.9 million from the release of reserves related to a previous acquisition. Technically, we had earnings per share on a non-GAAP basis, but we don't think it is meaningful given the loss from operations and the positive one-time items below the line. Given our net loss from a GAAP perspective, all outstanding stock options, warrants, and common stock equivalents are antidilutive and not included in the loss per share calculation in our GAAP financial statement. For your modeling, our quarterly non-GAAP interest expense from our convertible notes is approximately $1.6 million. From a GAAP perspective, the Q3 interest expense, including $6.4 million of non-cash amortizations reflecting the discount and issuance cost of the notes is approximately $8 million. The interest payments on the notes are made during our fiscal second and fourth quarters. Taking into account our adjustments to GAAP operating income that Mike referenced at the start of the call, we currently expect the non-GAAP operating margin for our third quarter to be within a range of negative 1% to a negative 3% of total revenue, and for the year, to be within a range of a negative 1% to a negative 2%. The GAAP operating margins for the third quarter and the full-year 2016 are expected to be approximately 23 percentage points to 25 percentage points lower than the non-GAAP operating margin. Now on to our balance sheet and statements of cash flows. Cash and marketable securities at quarter end were just over $1.9 billion, down $15 million sequentially. Operating cash flows were $16 million for the second quarter and $199 million for the trailing 12 months. This was better-than-expected driven largely by higher cash collections. Free cash flows were a negative $10 million for the second quarter and a positive $78 million for the trailing 12 months. Our CapEx was relatively light in the first half of the year, but we continue to expect spending of $150 million during fiscal 2016. Given the significant CapEx ramp in the second half, we anticipate negative free cash flows for the period. As mentioned before, we acquired a leasehold interest in land in Pleasanton adjacent to our existing office space. We are actively evaluating our alternatives for this site. Potential development costs are not yet factored into our CapEx guidance. To summarize, we're very pleased with our solid second quarter. Looking ahead, we're investing for the long term and see a very large opportunity in front of us. You should expect us to continue to make significant investments in our product development and global market expansion to maximize our long term growth opportunities. With that, let's begin the Q&A process.
Operator: Our first question will come from the line of Heather Bellini with Goldman Sachs.
Heather Anne Bellini - Goldman Sachs & Co.: Great. Thank you so much. I actually just had two questions. One, it's just a follow-up on, Mark, I just want to make sure that we all get your comments about ACV – and I think you mentioned in the third quarter – the comment that you made about ACV being in line with billings for Q3, and I just was wondering specifically if you could walk us through what's driving that to happen this quarter? And then secondly, Aneel, just wanted a little bit of a follow-up. I know that you moved some of your top salespeople over from HCM to focus on financials. It sounds like you're starting to see good progress. But is there anything more you can share with us on kind of how you feel the pace of the sales process, of pipeline building is going on the financial side as you made tweaks over the last quarter? So thank you.
Mark S. Peek - Chief Financial Officer: Sure, Heather, it's Mark. I'll cover the more technical question first. On ACV, we just expect as we look at the pipeline composition, that some of the sort of larger dollar contracts will come in at near or slightly below 100% of ACV for the quarter. We're putting the decision-making much closer to the customer in the field and we're just anticipating that we'll have some modest decline in the amount of cash that we collect as a percent of ACV in the first year.
Aneel Bhusri - Co-Founder and Chief Executive Officer: On the financial front, I actually participated in many of the sales calls last quarter that were financials oriented, and so got a firsthand view of what's happening. And I'd say it's very positive across the board, both in terms of the team engaging as well as the pipeline growing. And so we actually head into Q3 with financials pipeline double what it was in Q2, and that's both attributable to the focus on the field operations, the product being ready for prime-time and then the marketing efforts we've done to grow the pipeline. So very, very happy with where financials is trending.
Heather Anne Bellini - Goldman Sachs & Co.: Great. Thank you so much.
Operator: Your next question will come from the line of Keith Weiss with Morgan Stanley.
Keith Eric Weiss - Morgan Stanley & Co. LLC: Excellent. Thank you for taking the question and good quarter, guys. I just wonder in terms of looking at the guidance for the rest of the year, maybe if you could give us a little bit more color on sort of what your expectations are for what's – how the seasonality is playing out? Because if I look at how you did in Q2, it was a very strong quarter versus your guidance. I think you came in about $17 million ahead of the high end of your billings expectation. We're only taking the full-year of, I think, $10 million to $15 million in terms of billings growth. Was there something that made you feel a little bit more cautious about the back half of the year? Was business perhaps pulled into Q2? Then if you could just give us a little bit more color on terms of sort of how the back half is playing out versus your initial expectations?
Mark S. Peek - Chief Financial Officer: Yeah, Keith, fundamentally, we see the seasonality between Q4 and Q3 as really relatively consistent to what it's been in the last couple of years. But as we look at pipeline composition and the fact that we don't want to do anything unnatural to move business from Q4 into Q3, we just feel that the billings split seem to make more sense in the third quarter. And then again we'll update you for the rest of the year and for the fourth quarter once we publish Q3 results and have some clarity on Q4, and also likely give you some indication of our early thoughts on fiscal 2017 as well.
Keith Eric Weiss - Morgan Stanley & Co. LLC: Excellent. So it wasn't anything that was pulled into Q2, per se?
Mark S. Peek - Chief Financial Officer: No.
Keith Eric Weiss - Morgan Stanley & Co. LLC: Excellent.
Operator: Right. Your next question will come from the line of Mark Murphy with JPMorgan.
Mark R. Murphy - JPMorgan Securities LLC: Yes. Thank you very much and I'll add my congratulations, Aneel. At the highest level I wanted to ask you, are the increased marketing efforts or rhetoric from Oracle PeopleSoft more of a headwind, or more of a tailwind, for both your pipeline growth and your sales cycles? And what I mean by that is, I think, we have a sense that they have overhauled their user interface and we wonder if that has the potential sporadically to elongate some of your sales cycles. On the other hand, wondering if it is possible that they're actually driving a wave of customer evaluations just by talking up the cloud and potentially that could be resulting in a greater opportunity set for Workday. So if that makes sense. I'm wondering how you picture that balancing out for Workday.
Aneel Bhusri - Co-Founder and Chief Executive Officer: It's a good question. I actually haven't looked at it quite that way. I'd lump in the two legacy competitors and similar tactics. The tactics are the same, and I've said this repeatedly. The tactics that they are using now are the same that they have been over the last few years, and they are both very good sales and marketing organizations, but their products are woefully behind ours. And I think if there is any change in sentiment in Q2, we got back to some of the basics around selling and making sure that the prospect really did their homework on all the solutions that were available out there, and really understood where the legacy vendors are, not just in terms of what they say, but actually where they are in terms of production references, and actually, the products working or not working. And when the customers really do their homework, we do very well. And I think that will continue to be the case. I mean, 70% of our customers are in production and happy with Workday, and neither of the legacy competitors can come anywhere close to those kinds of statistics.
Mark R. Murphy - JPMorgan Securities LLC: Thank you.
Aneel Bhusri - Co-Founder and Chief Executive Officer: I would say the good piece of all of it; we are all talking about moving into the cloud. There is no discussion any more of on-premise in HR. I would say that the one of the fascinating pieces though on the financials opportunities is we are largely competing against legacy products again, so it is a little bit of a time warp since neither of the legacy vendors really have strong offerings in financials in the cloud. We are up against the on-premise solutions and those are odds I like for our favor.
Mark R. Murphy - JPMorgan Securities LLC: Thank you.
Operator: Your next question will come from the line of Brent Thill with UBS.
Brent John Thill - UBS Securities LLC: Thanks. Aneel, just on your financials pipeline comment that's doubling going into Q3, I'm curious, and correct me if I'm wrong, that you saw originally more SMB type customers in financials, and I think everyone is wondering the pipe and what you're seeing in larger enterprises. Are they ready to make the jump, or is that pipeline still more mid-market at this point?
Aneel Bhusri - Co-Founder and Chief Executive Officer: Yeah, I wouldn't say SMB, I would definitely say it was more mid-enterprise side, 3,000 to 10,000. And not just heading into the third quarter, but the last few quarters we have seen the pipeline of large enterprises looking at our financial products grow pretty substantially, and pretty optimistic about what's going to happen in the second half of the year.
Brent John Thill - UBS Securities LLC: Okay, and for Mark, in the first half of the year, the Billings growth rate obviously decelerated pretty materially, and I know you commented just don't look at that number, and you clearly haven't given us the backlog number, so we can't see that and you get to see that. But when you look at last year, you had a couple large deals, I believe, the University of Washington and Bank of America. There has been a lot of questions about those larger enterprise contracts in the first half of the year. Are you seeing deals of that size that are coming in that we just can't see? And I know that those deals were – it looked like they were billed differently than perhaps from the deals you're seeing billed in the first half of the year, so I'm just curious if you could just walk through what you're seeing on the larger deal and how that's impacting the billing.
Mark S. Peek - Chief Financial Officer: Yeah. Just in terms of new customer momentum, we crossed the 1,000 customer milestone this quarter. It was two years ago that we were at 500 customers, and so we've now doubled our customer set in that two year-period of time. And the composition continues to be made up of a nice mix of medium enterprise customers and occasional larger customers, there tends to be at least one every quarter. In certain quarters more. And so the mix hasn't really changed significantly.
Brent John Thill - UBS Securities LLC: Thank you.
Operator: Your next question comes from the line of Walter Pritchard with Citi.
Walter H. Pritchard - Citigroup Global Markets, Inc. (Broker): Hi, thanks. Aneel, it looks like your sales and marketing expenses are growing at about 31% growth year-over-year and it's come down that growth rate. And Mark commented that you've been under shooting your hiring goals. I wonder if you'd give us a sense as to how fast you'd like to be growing your sales head count or your productive sales head count. And does this sort of lower than expected hiring last couple quarters set you back as you look six months or twelve months out, when those reps need to be productive and drive some revenue for you.
Mark S. Peek - Chief Financial Officer: Yeah, Walter, it's Mark. We want to continue to aggressively add people to the sales force. Yeah, there is this certain element of the mix of our model and that we – most of the sales and marketing expense is from the activity that's occurring in the given quarter, whereas the revenue is from all 1,000 of our customers. And so we expect some natural leverage. But that said, we are planning to hire aggressively. As we've said in the past, it takes six months to nine months to get an individual salesperson productive and to have that first win. And so as a result, as we're doing our hiring in the third quarter, we're thinking about fiscal 2017.
Walter H. Pritchard - Citigroup Global Markets, Inc. (Broker): And Mark, just on that, are you looking to hire? I mean, it would seem you're seeing good growth. You're seeing 50%-ish maybe plus growth in the metrics we look at. Should we expect that you would like to grow your productive head count at that capacity? I mean, it seemed like right now you're getting unintended levers. But is that a good way to think about it is grow the sales head count as you're growing the business?
Mark S. Peek - Chief Financial Officer: Yeah, that's a good way. We really to think forward as to how we're going to grow the business over a period of time, and then we're also making investments in international markets in which it's still very early days. Even in core products like HCM where our share is less than it currently is in North America, and so we'll make significantly – do significantly more hiring as a percentage in foreign markets.
Walter H. Pritchard - Citigroup Global Markets, Inc. (Broker): Got it. Okay. Thank you.
Operator: Your next question will come from the line of Karl Keirstead with Deutsche Bank.
Karl E. Keirstead - Deutsche Bank Securities, Inc.: Thank you. A question for Mark. Mark, if you don't mind, I wouldn't mind returning to the 3Q issue around the percentage of ACV collected as cash. And what I wanted to ask you is whether what you described for the third quarter is really sort of a one quarter anomaly based on, as you said, the pipeline composition, or is this a change whereby maybe Workday sales teams might now be, as you sort of alluded, pushing the invoicing duration decisions to the customers and maybe no longer encouraging multi-year upfront cash payment such that we might see something like this in future quarters? Thank you.
Mark S. Peek - Chief Financial Officer: Yeah, as you know, we originally pushed for multi-year upfront and that helped us finance the business. We are generating operating and free cash flow now and so that's not a consideration, particularly in this interest rate environment and at our cost of capital. And so, for the long term health of the business, we're willing to trade cash terms for discount. And sometimes that really helps our customers in what they're trying to achieve over the short term as they go through the deployments, and to help accommodate them. And then we're also pushing more individual decisions out to the field where it's closer to the customer.
Karl E. Keirstead - Deutsche Bank Securities, Inc.: Okay, that's helpful. Thank you. And then if I could ask a follow-up to Aneel. Aneel, I'm intrigued by Workday Planning. I just wanted to ask you, obviously Oracle SAP have offerings there and some younger vendors like Anaplan and Adaptive Insights are there. I'm just curious how you think Workday can differentiate in that area and how you would frame the size of that Workday Planning opportunity? Thank you.
Aneel Bhusri - Co-Founder and Chief Executive Officer: It's a multibillion dollar market. Historically legacy vendors, Hyperion, and Cognos and BusinessObjects were the leaders, all of whom have very dated products. I think our real advantage and opportunity, and you described the legacy competitors, their solutions. Their solutions are bolted on. They were acquisitions. So in order to make the budgeting planning forecasting product work for those guys, they have to basically unload the data from the transactional system, load it, different security model, different user interface. The outcome of that planning process is not tied back to the transactional system, so it's very cumbersome, it's very kludgy. And the way that we're designing it and defining it, it'll be the truly first system where you can operate, you can run your budgeting and planning process and transactional system, same user interface, same data. We already have all the data effectively at a level that would be, I wouldn't call it quite a star schema, but set up in a way that makes it easy for us to run those analytics against it. And when you want to take action on that budget or on a change on the budget, it's the same system. So, it's that unification that customers are really looking for. They're tired of shipping data across and different user interfaces and different security models, and we can really address that head-on.
Karl E. Keirstead - Deutsche Bank Securities, Inc.: Okay. That's very helpful. Thanks a lot.
Operator: Your next question will come from the line of Katherine Egbert with Piper Jaffray.
Katherine R. Egbert - Piper Jaffray & Co (Broker): Hi. Thanks for taking my question. Just a quick follow-up on the planning product, I mean, this is an important product. Is this something that larger banks or other institutions are waiting for as a bridge from HCM as they think about using your financials product?
Aneel Bhusri - Co-Founder and Chief Executive Officer: I think it's a very important component, probably more so than it was 10 years to 15 years ago. And for most of our customers who have bought our financial products, this has been a key requirement. We partnered for the solutions to date. And frankly, we're okay with partnerships down the road if there's some specific requirement we're not going to tackle. But I would suspect that most of the Workday customers would embrace our planning product. And they're looking for that unification not just around financial planning, but our ability will be able to drive it into head count planning as well, which is so tightly tied to the financial plan. So your question is a good one.
Katherine R. Egbert - Piper Jaffray & Co (Broker): Okay. Thanks. And then a quick one for Mark, you'd previously said about 60% of bookings come in the second half of the year. Does that still hold?
Mark S. Peek - Chief Financial Officer: Yeah. It's slightly less than that now, I guess, given the current guidance. So, I think it calculates to (37:03) 57%, 58%.
Katherine R. Egbert - Piper Jaffray & Co (Broker): Okay. Close enough. All right, thanks. Good job.
Operator: And your next question will come from the line of Steve Koenig with Wedbush Securities.
Steve R. Koenig - Wedbush Securities, Inc.: Hi, gentlemen. Thanks for taking my questions. One housekeeping question if I may, and then maybe a more interesting question. On the housekeeping, I understand why you don't want to report diluted non-GAAP EPS because that looks it's kind of one-time in this case, and that might be misleading, but can you tell us what would have been or what will be approximately the amount of dilution when you decided it's appropriate to dilute the non-GAAP earnings?
Mark S. Peek - Chief Financial Officer: If you look at just this quarter, it was about 13 million shares of dilution.
Steve R. Koenig - Wedbush Securities, Inc.: Got it. Okay, that's very helpful.
Mark S. Peek - Chief Financial Officer: And depending on others, there's some technical math around the convertible securities. And at the upper bound, assuming that they're not deep in the money, it's probably 20 million shares when you add in the convertible securities.
Steve R. Koenig - Wedbush Securities, Inc.: Got it. Okay, thanks, Mark. And then the other, for my follow-up, I wanted to ask maybe on Financial Management, everyone seems – I get a lot of questions from investors about that and it's definitely an interesting topic for folks. Could you talk to us a little bit in more granular terms about how big is your largest – that current customer that has general ledger, maybe not naming names, but kind of what size are we talking about? And do you have Fortune 500 customers that are using general ledger yet? And then related to any color on – we're hearing more about integrators gearing up to do full platform work. So, we'd love any color on that as well.
Aneel Bhusri - Co-Founder and Chief Executive Officer: We definitely have Fortune 500 size customers using our financial products by the way that we define the scale of the volume. So, the answer to that would be yes.
Steve R. Koenig - Wedbush Securities, Inc.: Great.
Aneel Bhusri - Co-Founder and Chief Executive Officer: In terms of the partners, they definitely have all been ramping up. I think they were all looking for the same signs in the pipeline that we have been looking for. And those signs have emerged. So, once the ball gets moving, it's a pretty virtuous cycle. We start winning business. The integrators start investing in head count. And we definitely are on that cycle now.
Steve R. Koenig - Wedbush Securities, Inc.: Just last follow-up, do you guys think we will see more in the way of customer success stories via press announcements, et cetera, for those kinds of large customers this year? Or is that more a calendar 2016 sort of event?
Aneel Bhusri - Co-Founder and Chief Executive Officer: There's no reason it couldn't happen this year, but we don't control the other signing of the contract. I would say that there's a more than a handful of those kinds of opportunities that are actively being pursued right now and I would hope at least a few of them closed by the end of the year.
Steve R. Koenig - Wedbush Securities, Inc.: Fantastic. Thanks a lot for your help, and congrats on the quarter.
Operator: Your next question will come from the line of John DiFucci with Jefferies.
Brad Zelnick - Jefferies LLC: Thanks very much. It's actually Brad Zelnick filling in for John. And I know this question was already asked, but we are getting a lot of inquiries trying to better understand the third quarter and full-year billings guide, and I appreciate that the comments that you've already made, which sounds like you expect billings duration to contract given the structure of some of the deals, which if you're comparing to ACV, it sounds like there are some chunky deals that can bill on a frequency that's less than annual. But can you help quantify that for us? Or maybe give us a sense of what the growth rates look like if you normalize for duration year-on-year for 3Q and 4Q? Thank you.
Mark S. Peek - Chief Financial Officer: Yeah. I think that when you look at the historical billings patterns is that the guidance we gave is not that far off of what our actual history has been. And so what I tried to do is also to call out some of the factors to consider. We've had, in our history, a lot of multiple years of cash paid upfront at initial contract signings, and if you think about what that means for future periods, the overall billings then will decline. And so, in the third quarter, and particularly as we look at the pipeline where there are some transactions that will be less than collecting a full-year of ACV upfront, when you couple that with the billings that are coming out of deferred revenue, or out of backlog that are less than a year of ACV because we had collected more on the initial contract signing, that's why we guided to where we are for billings in Q3.
Brad Zelnick - Jefferies LLC: So, thanks for taking the question.
Operator: Your next question will come from the line of Kirk Materne with Evercore Partners.
Stewart Kirk Materne III - Evercore ISI: Yeah, thanks very much. I guess just two quick ones. First, Aneel, you all talked a lot more about EMEA this quarter in terms of some of the progress over there. Could you just talk about what you're seeing, is that just getting more at bat (42:42) in terms of RFPs? It sounds like productivity over there is getting better. And the second question would actually be for Mark which is related. As you have more of your bookings coming out of EMEA, which I assume you don't have as much, I guess, history with, does that, I guess, inform your sort of guidance in the back half at all given that Europe's becoming a larger part of the overall bookings structure? Thanks.
Aneel Bhusri - Co-Founder and Chief Executive Officer: So our success in EMEA, all starts with leadership, and we brought on board Chano Fernandez over a year ago, and he has just put together a great team. I'd say that coupled with that the product is market ready for all the major European markets, including Germany and Switzerland now. So, we've got the right products. We've got the fit with all the different market opportunities. We got the right field organization. And very importantly, we've got the customer success there now, so we have demonstrable success with large enterprises who have chosen Workday and gone live. AstraZeneca most recent one chose Workday, up and running in, I believe, 13 months. Aviva has been successful with our products for many years. Diageo. So once you start having the proof points it starts feeding on itself, but I'd point to the leadership and frankly the competitive environment is the same as it is the in U.S., so our product holds up well there as well as it holds up here.
Mark S. Peek - Chief Financial Officer: Yeah, and also as we look at guidance and the composition for EMEA, when we began to set prices in foreign currencies, we did not take a significant uplift, which many of our competitors do, where you look at the list price on U.S. dollar versus euro and many of the U.S. based software companies will have 40% or 50% uplifts and we made the decision not to do that. When you take that with the currency environment, it's really very competitive offering that we are making and very competitive pricing. Our intent when we sign contracts in foreign currencies is to, because these are long term contracts with predictable cash flows ahead over multiple years, is to go ahead and hedge those cash flows, so there is not a lot of volatility in our unearned revenue or in our backlog.
Stewart Kirk Materne III - Evercore ISI: Thank you.
Michael Haase - VP Finance, Treasurer, and Investor Relations: Operator, we are going to take two more questions please.
Operator: Okay. Then the last of the two questions will come from the line of Justin Furby with William Blair.
Justin A. Furby - William Blair & Co. LLC: Thanks, guys. Mark, sorry to revisit this, but I guess going back to Q3, I think the guidance for Q3 on billing, $310 million to $315 million. Is there any way to give any sort of quantification on the duration issue? I mean, the Street was, I think, $20 million above you. Is it that kind of an impact that we're talking about in terms of duration? Is it somewhere less than that? And I guess I also wanted to hit on Aneel's comment around win rates and the improvement sequentially. I'm just curious, does some of that have to do with being more flexible with contracting terms or is it something else? And then I have one follow-up.
Mark S. Peek - Chief Financial Officer: Yeah, I mean, I think, Justin I'm going to simplify it, I think that we had guided to 60% billings in the second half. That's now tipped down to about 58% with our performance in Q2 and with the guidance that we've provided. And it's weighted more towards the fourth quarter. What's primarily making that up is as we look at the pipeline and as we're making calls as to what business will close, we just think that the amount that we'll bill relative to ACV will be 10 points or so lighter than it has been historically, and so it has an impact on the bookings for the quarter.
Justin A. Furby - William Blair & Co. LLC: Okay, and then the other part of the question was around win rates. I'm just curious if you think that the improvement has something to do with what you're doing in the field in terms of being more flexible? And how much of that is discounting versus just literally collecting less upfront?
Aneel Bhusri - Co-Founder and Chief Executive Officer: I don't think a lot of its attributable to terms, but being flexible always helps in a sales cycle. I think we got back to the basics and our win rates against our main legacy competitors have always been high. And in the second quarter they were higher than they were in the first quarter. That's really all I would read into it. At the end of the day, the customers we're selling to, these large Fortune 500 companies and midsize companies are looking not just to get a cloud product, but a cloud product that works and help them solve business problems. And as long as we can continue to prove out that value proposition with the success we've had with existing customers, we're going to continue to win at high rates.
Justin A. Furby - William Blair & Co. LLC: That's helpful. And then, Mark, just one more, of the 10 points you're referring to, is that 10 points off of the year ago comps or the $241 million number? Or what does the 10 points relate to? Sorry, thanks.
Aneel Bhusri - Co-Founder and Chief Executive Officer: No, it's relative to the percentage of ACV that we're able to bill upfront. And so, historically, if you think about it as 110% of ACV or thereabouts on net new, it's coming down to closer to 100%.
Justin A. Furby - William Blair & Co. LLC: Got it. Okay, thanks, guys.
Operator: And our final question will come from the line of Brendan Barnicle with Pacific Crest Securities.
Brendan John Barnicle - Pacific Crest Securities, Inc.: Thanks so much. Aneel, you've alluded to a couple of areas where you guys have made changes in the business related to financials, specifically with sales and the ramping that's happened with the systems integrators. Are there other areas of the business that still need to pivot towards financials or other changes that need to develop for that go-to-market strategy?
Aneel Bhusri - Co-Founder and Chief Executive Officer: Well, right now, we have a dedicated financial sales team. And it's obviously not the entire sales force. There will be a moment in time when most of the sales force will carry both products. There was a natural evolution of our previous company, it's a natural evolution of bringing new products to market. You want a lot of focus on that new product until it becomes ready for prime time, and then you want the broadest distribution channel possible, and I don't think it's that far away where pretty much every rep in North America, at least, will be selling the financials product as long as the HR product, and that dramatically increases our reach.
Brendan John Barnicle - Pacific Crest Securities, Inc.: Great. Thanks, and then Mark, just a quick one for you. Looked like stock base comp as a percentage had a little bit better move up in Q2 than what we've seen in the past. I know there's typically some seasonality to that number. Anything change in compensation terms that's pushing that? And is that sort of $65 million level, is that about the right level we should be thinking about for modeling for the back half of the year?
Mark S. Peek - Chief Financial Officer: Yeah. I think you see the impact of our annual grant process that we do where you get a full-year, or full impact of expense in the second quarter. We haven't made significant changes to our compensation system. We're in a very competitive market and environment. As I mentioned on the call, our attrition rates are best of class in Silicon Valley. But that said, we haven't had a significant change in the mix between cash and equity comp.
Brendan John Barnicle - Pacific Crest Securities, Inc.: Great. Thanks, guys.
Michael Haase - VP Finance, Treasurer, and Investor Relations: Okay. Thank you very much. That concludes the call.
Operator: Thank you for your participation in today's earnings call. You may now disconnect and have a great day.